Jenny Sandstrom:
Communications Lead: Hi, everyone. Welcome to Orron Energy's Second Quarter 2025 Webcast. My name is Jenny, and I'm working with communication at Orron Energy. With us today, we have our CEO, Daniel Fitzgerald; and CFO, Espen Hennie, who will describe the report and the latest developments of Orron Energy. We will end the session with a Q&A session. If you look at the bottom of your screen, you have a Q&A function. So please send questions as we go along, and we will collect and go through them at the end. And with that, I would like to hand over to Daniel Fitzgerald to kick off this presentation.
Daniel Fitzgerald: Thank you, Jenny, and welcome to our Q2 results for 2025. It's a pleasure to have you here. I'll be joined by Espen, who will run through the financial results for the quarter. And before then, I'll give a quick update on where we are within the business. As a short introduction, Orron Energy is a renewable energy company. We have just shy of 400 megawatts worth of producing assets in Sweden and Finland, and all of those are wind farms. We have organic growth across the full life cycle, we're able to step into greenfield developments, project construction into operating wind farms and other assets, batteries, solar, et cetera, and we have the ability for life extension, repowering, et cetera. So within the company, we have the ability to work through all of the stages of the life cycle of a renewable asset. We have a large-scale greenfield pipeline, primarily in Germany and the U.K. with projects also in Sweden, Finland and France. And the U.K. and Germany are really leading in terms of the large-scale opportunities that are now moving into a monetization phase -- and I'm pleased to share that our first project has been sold, and we'll touch on that later in the presentation. And that represents a really strong return on capital and something that we've been working towards for the last 2 years to build this element of our business and start to see the returns from that. And finally, we remain, as we have done since the inception of the company, we remain fully funded for investing in growth and investing in the platforms that we're starting to build. And so in challenging market times like this, I think that's really important to ensure that we continue to have a strong liquidity position that underpins our ability to go and invest countercyclically and invest in longer-term value-accretive options for the company. If we then step into our second quarter results and first half performance, we've generated 439 gigawatt hours' worth of production year-to-date. And in addition to that, we've also had 20 gigawatt hours' worth of what we call compensated volumes. And these are becoming more and more important in today's markets where we're bidding our assets into ancillary services, and we're seeing stronger revenues coming out of that side of the business as potentially we see a little bit weaker markets like we've done in Q2, this becomes a more important share of our revenues moving forward. As of the end of Q2, we only had MLK qualified into this. In Q3, we're moving into having Karskruv qualified into this service, and we should see more and more volumes coming out of these ancillary services. And we'll touch on that in the coming slide, but I think that's a really important differentiator as we see markets like they are at the moment. With the revenues, we've achieved EUR 16 million of revenues year-to-date, and that results in an EBITDA of minus EUR 2 million. And we have seen slightly higher balancing and other costs through the course of the second quarter, and Espen will touch on the financial impact of that as he goes through his section. And that's offset to some extent by the increased revenues from the ancillary services. As I already touched on, we do have a strong liquidity position. We have EUR 77 million of net debt and over EUR 90 million of liquidity headroom within our finance facility, which gives us the ability to continue to draw down for funding some of the growth elements. And as we're starting to move into monetization of the greenfield portfolio, we should see -- over the coming quarters and year, we should see a return to reduction in the debt facility as we monetize more and more of these projects. And on that, we've sold the first German project. We have a slide detailing a bit more detail around that. I'm pleased to share that we've received EUR 2 million upfront consideration for that, and we expect to receive a contingent payment of EUR 2 million once we satisfy the contingencies. And that represents a good return on capital and a profitable element for this part of the business, which is a really exciting position to be in now that our first projects have hit the market. In the U.K., we continue to see strong progress on our projects. We came out in our first quarter results with only 2 projects ready to permit. Our second one was -- had the land position secured. We're now at 7 projects, which have all of the land secured to move them forward. Those have been submitted into the U.K. grid reform process, and we're likely to hear back in the second half of this year on the results of that. And then a portion of those we expect to move into a sales process as we enter into the new year, which will start the monetization of the U.K. portfolio. So again, there's a strong portfolio of projects that are coming forward. We need to see the results of the grid reform and what that means for our projects, and then we'll be able to share more information as we come into the tail end of this year or early into next year. And finally, the higher balancing costs that we've seen in the second quarter -- we've also seen higher ancillary services revenues and balancing costs are when the system operator has to step in and balance electricity markets to ensure that the supply and demand in real time are being matched. And unfortunately, with increasing volatility in the power systems, we've seen in Q2 more of an impact from these balancing costs. And the primary areas where we've seen that are in Finland and in Sweden. And Finland, certainly for MLK, we've implemented a solution in early July, which now mitigates our exposure to balancing costs by managing our production in a slightly different way. So we still see some of the challenges in the market that for sure is impacting our financial results year-to-date so far. But as we look into the future, we're starting to see futures pricing increasing. We're starting to see that not only at the tail end of this year, but also into next year. We've also hedged a portion of our volumes for the second half of this year. So 40% of our volumes have been hedged at an average price of around EUR 52 per megawatt hour. And that gives us protection against a downside case where we see potentially lower pricing like in Q3 of last year. So I think the market is starting to pick up again. We're starting to see increased pricing. We're starting to see some of the revenues from greenfield. So I think it feels like we're on a trajectory, which is going to push us higher in terms of our financial performance as we move through the second half of this year and into next year. Looking in a bit more detail at our production volumes. I think the first thing to cover is that we remain on track for the guidance range that we put out at the start of the year or the forecast range that we put out at the start of the year. We've delivered around 459 gigawatt hours' worth of both produced volumes plus compensated volumes. And I think those compensated volumes are really important going forward. The way we manage our producing assets and operationally controlling our assets has become increasingly important in today's markets and the ability to restrict the amount of balancing required on our assets and reduce the costs associated with that, but also to profit from elements of ancillary services and bidding our volumes into these markets. It's quite a complex piece of work to put in place for all of these services and controls to be able to manage the assets. But on MLK, which is the asset where we have the most -- probably the most cost exposure, the most opportunity, we've now put a full suite of services where we can step into both restricting the output in low pricing, increasing the output when pricing is higher, ensuring that our output is controlled to match what we bid, so we minimize balancing costs. That more and more is becoming really important in our -- in the way we operate our assets. And also with the increased cost and increased ancillary services revenues, it becomes -- it starts to play a much more larger role in how we bid our volumes. And so Karskruv has some of those services implemented. We're expecting that the remainder of the services come in through the course of Q3, and we move from 20% of our portfolio being eligible for these services up to closer to 50%, and we'll keep pushing through the second half of this year to lift that even further. And this gives us a lot of things. It gives us resilience against some of the higher costs and low prices, but it also gives us other avenues to take revenues from when the markets are volatile or challenging or have opportunities. And so more and more, we're going to see that rolling out across our production fleet. And finally, for me, before I pass to Espen, a few words on the German project sale. I think it's been a long journey for us, and I'm sure for the investor community as well to get to the first project sale. We're now 2.5 years into this venture with the greenfield portfolio. And this project is a 76-megawatt agri PV project located in Northeastern Germany. And we've sold that project to Saxovent Renewables. We have an upfront consideration of EUR 2 million, and the project has -- or the sale has closed, and we've received the initial payment. The contingent payment is requiring 2 elements to be met. One is the municipal -- the final municipal approval of the project, which we expect in the first half of next year. And secondly, we need the EU Commission approval of the German Solar Package 1 legislation, which is the -- which allows this project to be eligible for tariffs. Once we meet those 2, then we will realize the second part of this payment, and we are hoping to see the conclusion of both of those in -- through the course of 2026. Now this project is not the only one. It's the first of many. We have a second project similar location of 93 megawatts, which has now reached ready to permit. So the same point as we were with this project back in the first quarter of this year. And we expect during the third quarter that this will hit the market as well. And we should hope to see some revenues from this project either tail end of this year or at the latest early in the new year. And so this really is the start of a monetization phase in Germany, where we have a multitude of projects, a multi-gigawatt pipeline where we expect multiple projects coming through each year. And we said at the Capital Markets Day that we expected at least 5 projects over the course of 2025 and 2026, and we remain firmly on track with that delivery cycle. So I'm excited to see more from the German team and the German projects. And I think the multiples that we've received on this project in terms of euro per megawatt hour are very accretive from -- for us to continue investing in this business and in line with where we have expected the market to be. And so over the course of the next quarters and into next year, we should see the results from Germany. And then with the conclusion of the grid reform in the U.K., we should start to see the monetization from the U.K. And so with those 2, I think we should be moving into a place where the greenfield business is starting to return that capital back to Orron Energy, which is a really exciting phase as we move forward. And so with that, I'll pass over to Espen for the financials before Q&A at the end.
Espen Hennie: Thank you, Daniel, and good afternoon, everyone. I'll go through the financials for the second quarter, starting here with some of the highlights. We had a reported quarterly power generation of 188 gigawatt hours for Q2. And in addition to these reported figures, as Dan mentioned, we do receive compensation for another 9 gigawatt hours related to volumes that are allocated to ancillary services and also some operational downtime, which will be compensated through our availability of warranties. Achieved price for the quarter was EUR 30 per megawatt hour, and we will go through that in a bit more detail in a later slide. The quarterly volume and achieved price equates to revenues of EUR 6 million and the EBITDA, excluding noncash G&A items totals minus EUR 3 million in Q2. And we ended the quarter with a proportionate net debt position of EUR 77 million. And when comparing that to our debt facility of EUR 170 million, it is obvious that the company is in a very robust financial position with ample liquidity. Taking a look at our full year guidance. And the short story here is that we did deliver in line with guidance on all parameters with the exception of operating costs, which have been impacted by elevated balancing costs throughout Finland and Sweden, and we are increasing our full year guidance for operating expenses as a result from EUR 17 million to EUR 19 million and as you can see on the right-hand side of the slide, the balancing costs for the first half of '25 are up almost EUR 2 million compared to the corresponding period last year. And this is very much an industry phenomenon in the regions where we operate, although it has been more pronounced in Finland and Northern Sweden to date. But we are, of course, taking all measures we can to limit these costs. And for MLK wind farm in Finland, we have commissioned an automated solution designed to reduce both exposure and associated costs related to balancing. That went live in July, and we are pleased to see that the initial results are very encouraging. Also very important to take into account ancillary services revenue into sort of this total picture when you consider the increasing balancing costs. Our ancillary revenues were almost EUR 1 million for the first 2 months or 2 quarters of this year. And obviously, this is then offsetting a significant portion of the increased balancing costs. So the ancillary revenues are, to a large extent, a hedge against also future variations in balancing costs since the 2 items are quite strongly correlated. And as Dan mentioned, today, our ancillary revenues are coming from MLK, but we are now in the process of also implementing it and making sure that Karskruv is going live with ancillary services shortly. So going forward, you should expect our potential for ancillary revenues to be -- to increase and be even higher than what we have reported year-to-date this year and we should be in a very good position to offset a majority and if not all, of the increase that we are observing in balancing costs. For G&A, Sudan legal costs and CapEx, the costs and developments year-to-date have been in line with expectations and plan, and we are then reiterating our full year guidance for those items as a result. Then some key financial metrics for Q2 and previous quarters going back to the corresponding quarter in 2024. If we start with the revenues, they were in line with the corresponding quarter last year, which is due to very small year-over-year variations in power generation and achieved price. And the same holds true for EBITDA when we adjust for the Leikanger divestments in Q2 last year. And I think this chart, if you look at this chart, if you look at the quarterly variations, the seasonal pattern in our revenues is very obvious, where we normally have most of our volumes during Q4 and Q1 when we also typically enjoy stronger pricing throughout the Nordics, which is also something that we expect for this year with revenues picking up during Q4 compared to the summer quarters. But with that being said, we are very pleased to see that based on current futures prices and also taking into account that the hedges that we entered into, as Dan mentioned, we do expect revenues over the next 2 quarters to be significantly stronger than what we experienced last year. Then a bit more details on our achieved price for Q2 and also year-to-date. If we start with the Q2, the Nordic system price averaged EUR 26 per megawatt hour. whereas the average production weighted spot price of our portfolio was EUR 32. So sort of the normal premium due to the geographical location of our assets, which is very -- which is favorable with a large portion in high-priced regions. Ancillary service income, GOOs and hedging impacted positively by EUR 4 per megawatt hour on the achieved price before then deducting capture price discount to arrive at our achieved price of EUR 30 per megawatt hour for the quarter. If you look at the same reconciliation on the first 6 months, we had an average system price of EUR 36 per megawatt hour. And again, the premium of our portfolio due to the favorable location resulted in an average spot price of our assets of EUR 43 during the first 6 months and positive impact from ancillary hedging and GOOs of EUR 3 and an achieved price of EUR 36 after netting out the capture price discount, which is similar to the average system price during the same period. And although capture price discounts obviously are depending on a lot of moving parts and hard to predict precisely, we do expect the yearly average to end up not too far away from the observed level in '24, but you should also expect this to fluctuate quite a bit on a quarter-to-quarter basis. But the more longer-term average, we do expect to end up somewhere close to where we are today and the '24 level, as you can see on the chart here. Moving then to the quarterly reported cash flow and our liquidity position. Our CFFO, excluding working capital for the quarter was minus EUR 5.2 million, and we had a positive working capital impact of EUR 0.8 million during Q2. And cash flow from investing activities had a total impact of minus EUR 5.1 million in Q2. And out of that, those EUR 5.1 million, EUR 3.9 million are CapEx, which is mainly investments into our greenfield portfolio and projects with then the balance or EUR 1.2 million being the net cash flow impact from acquisitions during Q2. And the resulting proportionate net debt position at the end of the quarter was EUR 77 million, as mentioned, which corresponds to more than EUR 90 million of liquidity headroom when we combine the cash balance with the EUR 76 million of undrawn portion under our revolving credit facility. Summing up then with cash flow outlook for the full year for 2025, where we reflect the actuals for the first half of the year. Before we start, very important to note here that here, we are excluding all revenues and EBITDA and cash impact from greenfield projects. So the financial impact from the recently announced project sale in Germany, which will be reflected in our third quarter financials will come on top of what you see here on this slide. And we are applying achieved prices ranging from EUR 30 to EUR 40 per megawatt hour for the second half of the year, which we view as a likely range of outcomes based on current futures and at the same time, also taking into account the price hedges that we have entered into with details shown on the slide here. Starting with revenues, we expect to end up between EUR 31 million and EUR 36 million for the year with a corresponding EBITDA, excluding Sudan legal costs, ranging between EUR 3 million and EUR 8 million and an EBITDA breakeven price of EUR 30 per megawatt hour for the year. Just keep in mind that, that breakeven price is obviously elevated by lower-than-average power generation volumes for the year and also then partly due to higher balancing costs. which I have explained earlier, is partly or fully offset also by higher revenues from ancillary services. When we are including Sudan legal costs, which largely is a thing of the past, only a year from now or less than a year from now, EBITDA is expected to end up between minus EUR 4 million and plus EUR 1 million for '25. If we're moving to free cash flow before CapEx, we anticipate minus EUR 10 million to plus EUR 3 million, excluding legal costs and minus EUR 9 million to minus EUR 4 million if we include them. And I think this chart, when also considering our liquidity headroom of more than EUR 90 million, highlights the resilience of the company and underlines the financial capacity we have to continue pursuing accretive growth opportunities going forward. So with that, I'll hand it over to Dan for some concluding remarks.
Daniel Fitzgerald: Thank you, Espen. And before we move to Q&A, I think it's important to note, Q2 and certainly the first half of this year has been challenging financially. We've seen higher costs, lower pricing than where we expect to see the long term, but I'm pleased to see that the futures pricing is starting to pick up as we move into the second half of this year. With the hedging that we have put in place, which is new for the company this quarter, it really protects us against the low side case where we saw in Q3 of last year, extremely low prices on the system and regional pricing in the Nordics. And so with the hedging in place, it allows us to secure against the low side, but we still have exposure to the upside. And when we look longer term, the assets we have a significantly long lifespan. So when we look at the price forecast as averages into the future, we do see that the revenues out of the operating assets are much, much stronger. And with the controls we've put in place, as Espen touched on, on MLK with some of the balancing -- reducing some of the balancing risk, we have the ability to manage our OpEx and our costs. So I do see that the assets we have will deliver long-term cash flow but impacted this year by some of the lower pricing and increasing costs. We're starting to see greenfield revenues coming through and that large-scale portfolio is a multiyear portfolio that we're going to see projects coming out of year-on-year. So I'm really excited to see that starting to gain traction and deliver some returns back. And I think as markets pick up, we're still building the foundation for growth in this company. So we're constantly adding new projects and new opportunities into our asset base. We have the ability to extend life spans and repower projects. So all of that is still alive. It's just sitting in the background at this point in time given where markets are. So company is still in strong shape financially. We see a future that's starting to pick up now, and we're starting to see revenues coming in. So it really is a turning point, I hope, in the second half of this year. And so with that, I'll invite Espen to come and join me again, and we'll move into Q&A.
Jenny Sandstrom:
Communications Lead: Great. We have received a lot of good questions online. And if you're joining us and you haven't yet submitted a question and you have a question, please do so now. We will start going through them at the moment. So there's a few questions around the market. How do you see a path to profitability unless market conditions change?
Daniel Fitzgerald: Yes. I think there's a number of things coming. So when I look at greenfield projects, there is significant value in the greenfield projects that are coming. We're seeing futures pricing picking up, and there's no doubt we need to see higher pricing than as Espen touched on, EUR 30, EUR 35 a megawatt hour, we need to see pricing at or above those levels to see some of the return to profitability. And also with the Sudan costs, we're still spending EUR 7 million a year on Sudan legal fees, which as of next year, it drops to probably around half of that level. And hopefully, from there, it drops to 0. So I think as the market moves slightly, we see more revenues from greenfield and Sudan dropping away. I think there's a forecast where we see the return to profitability, much stronger cash flows and the ability to redeploy that capital.
Jenny Sandstrom:
Communications Lead: And then there's a question around the volatility in balancing markets. Do you see this systematically higher for the Nordic markets going forward? And how much do you think is driven by the introduction of the automated quarterly hourly balancing model in March?
Daniel Fitzgerald: I think it all has an impact. The change to much higher resolution on the market has had an impact. We're seeing more volatility from more renewables coming into the market. We're seeing the impact of that. And we're starting to see the response by operators and others on how to manage this. So for us on MLK, now we -- when we bid a volume into the market, we have the ability automatically to match that. And when we match that, we have 0 exposure to balancing. And that helps the more players that are doing this, the more players that are active in the market to manage their production, the less cost there's going to be to balance the grid. So I think it is a state of flux where people are getting comfortable or getting up to speed with how the system has changed. But with more volatility, we will see balancing costs increasing. That's directly related to the ancillary services that we're providing. So we've seen a similar increase in the ancillary services revenues, and we need to get more of our assets qualified into that market to then be hedged on both sides of it.
Jenny Sandstrom:
Communications Lead: So given that the market for wind assets is weakening, which has been, of course, widely reported in the media, especially SE1 and SE2, what significant risk is there that Orron will have to take impairments?
Daniel Fitzgerald: I think maybe you touch on impairments, and I can touch on market. There's no doubt it is challenging. SE1 and SE2 are really challenging and the media has covered it well in Sweden. We see an achieved price or even a system -- sorry, not system, a regional price or an achieved price significantly below where the variable costs are. And with the rest of our assets, we will take decisions to shut down production where it is more profitable to not produce. And I think for a lot of players in SE2, that's the reality as it stands today. As we see demand increasing, which we expect to do over time, we will see the pricing coming back up. And as of today, there will be no new wind investments in wind, solar, any technology investments in SE1 and SE2 if the price we're seeing today persists long term. I think we don't have a great deal of exposure into that. So it's less of an impact for us. And maybe on impairments, do you want to touch the broader portfolio?
Espen Hennie: I will. So thanks for the question. I mean, obviously, that's something we are reviewing periodically. I think it's important to note that we have high-quality assets with many, many years left of cash flow with low breakevens and also to take into account that many of our assets, in particular, the one we have in SE2 and we have very, very limited exposure to SE1, basically 0, are already quite heavily depreciated. So we haven't seen any triggers or signs or any risk around that to date, given the high quality of our portfolio and the low breakevens compared to future price expectations. And it is important to keep in mind, as Dan said, that current prices are basically below breakevens for all new supply when it comes to renewable technologies in the Nordics.
Jenny Sandstrom:
Communications Lead: Great. And then we got quite a lot of questions actually around the greenfield pipeline. Looking at the U.K. process, can you confirm that you're positioned to receive grid connection offers? And what is a realistic time frame for your first project sale in the U.K.
Daniel Fitzgerald: Yes. We -- so ahead of the grid reform in the U.K., we had confirmed grid for all of our projects. With the grid reform process, we need to now go and confirm those positions. And there's a number of new criteria that the U.K. system operator has put in place. And so we have 7 projects that have already been submitted into that process. The window for applications is still open, and we're qualifying potentially 1 or 2 projects that we may add into that should we secure the land positions in time. And then we need to wait and see the outcome from that process to see how to move forward. There are some of our projects that are guaranteed to get a Gate 2 connection because of the size, scale, type of project. And there's some that we will await to see what the system operator provides. Now longer term, there's a pathway in the U.K. where you move into the Gate 1 process, which is a more softer commitment and then Gate 2, which is a much firmer commitment on grid. All of our projects that we have to date will remain in Gate 1 as a minimum and have the ability every year to move forward through the Gate 2 process. So we expect to see some of the results from the Gate 2 giving us confirm grid of the right date and location, which then allows us very quickly to move into a sales process for either a portfolio of projects or individual projects depending on the outcome. So by the end of this year, I think it would be difficult to see any results from a sales process. We should see the results of the grid reform through the course of Q3 or Q4, and then we step into sales potentially in the -- early in the new year. So I would say it's in the early part or certainly first half of next year when we see the results of a process, but we'll share more information as we receive it from the system operator later this year.
Jenny Sandstrom:
Communications Lead: And then for the German project that you sold end of July, what was your IRR for this project?
Daniel Fitzgerald: Yes. I think we'll disclose more details in the Q3 results with the profit on sale and everything linked to the project, which will be in our Q3. And at this stage, what I will say is that it's a healthy return on capital employed. I think IRR is probably the wrong way to look at this investment given the returns on capital deployed into the project. But we certainly see multiples that are very, very healthy to continuing investing, and it underpins the business case that we originally set out to achieve on this.
Jenny Sandstrom:
Communications Lead: And on that note, we also just received a question around the pace of sales in Germany. Are you expecting project sale per year or more?
Daniel Fitzgerald: I think we should expect 2 to 3, as we said earlier, first project sold now. Second project is at the same stage that this one was around 3 or 4 months ago. So the second one we expect to launch imminently, which then proceeds tail end of this year or next. So I'd say at a minimum, 2 to 3 projects a year in Germany, and they are smaller scale than what we see in the U.K. where the U.K. is more like gigawatt scale projects. These are closer to 100 megawatts of projects. So 2 to 3 a year in Germany. And then once we see the outcome of the grid reform process, we'll be able to share more in the U.K.
Jenny Sandstrom:
Communications Lead: And are you also looking at the BES in Germany, given the strong penetration of renewables and the phase-out of fossil fuels?
Daniel Fitzgerald: Yes, we have -- so across our portfolio, we have solar, battery and data centers in both the U.K. and Germany. And we have -- in the Nordics, we have solar, wind and batteries. So we have exposure to all of those. In the U.K., we have a couple of data center projects that are in this Gate 2 application, and we'll move forward on all opportunities we have within that greenfield portfolio.
Jenny Sandstrom:
Communications Lead: And in terms of the full pipeline, what does it look like in terms of scale, projects at RTP you expected to reach RTP soon, et cetera?
Daniel Fitzgerald: Yes. I think there's there is a large-scale pipeline. We have everything from initial land leads through to ready-to-permit projects across the country. So we said earlier, multi-gigawatt in Germany, which is right. And you should expect that 2 to 3 sales processes a year is about the right level as we mature this. And we could have some years which are stronger than that and some years which are less depending on the progress. We have come out before with around 3 to 4 gigawatts in Germany. We're around that level depending on how you look at the early- stage projects. And in the U.K., we came out originally with in total, a 40-gigawatt pipeline of which 36 was in the U.K. We're still at that level. I think as we mature this platform, though, it's more important to look at the tangible projects that have reached all the permits that are hitting the sales process to be able to forecast the revenues. And I think that 2 to 3 projects a year in Germany of around 100 megawatts project is right. The U.K. is a bit more difficult until we see the outcome from the grid reform.
Jenny Sandstrom:
Communications Lead: Great. And going into more of the business strategy, do you -- have you considered a potential sale of, for example, MLK given that it's in Finland and that it's in a potentially not that attractive price area according to some people looking at the cost?
Daniel Fitzgerald: Yes. I think Finland is a relatively strong price area. We've seen increased capture price discount and other challenges in Finland over the course of this year. So I'd say, like always, all of our assets are for sale at any point in time. And if the transaction looks accretive for us, then we'll move forward on it. I think at this point in the market, if we are able to realize revenues from an asset that are above where our holding values are on the asset, then we will certainly look to move forward with something like that, and that allows the ability to deploy that capital into a number of more accretive opportunities. So I think you shouldn't be surprised if something comes to market like we did with Leikanger, but there's nothing to share at this point in time.
Jenny Sandstrom:
Communications Lead: So previous quarters, you kind of dismissed price hedging. But now you've entered into hedges. And can you give us some more information around why you decided to do this at this time and place?
Daniel Fitzgerald: Yes. I think I'll pass to Espen in a second. But the price hedging, we have said we don't believe it's the right thing to do for a number of quarters. That's correct. And we've also said that when the conditions are right and we start to see a bit more accretive markets that we will step into opportunistic hedging. We've only hedged the second half of this year at this point in time, and we've hedged at an average of around EUR 52 a megawatt hour. If we compare that to the achieved prices in Q3 of last year at close to single-digit, low double-digit achieved pricing, I think it's a very prudent measure to step in when markets are recovering like this. It's not like we're locking up a 10- or 20-year hedge at this level, it's 2 quarters to protect in what we have seen in the last quarters as a very low price. I don't know if there's something to add, Espen.
Espen Hennie: No, I fully agree. And I think that's the key point that you need to distinguish between locking in a significant portion of our volumes long term and now taking a more short-term opportunity of what we viewed as attractive pricing over the next 6 months to reduce some downside risk basically, especially over the summer quarter, but also Q4 pricing, which we viewed as quite attractive when we looked at it. And keep in mind that, I mean, this is around 40% of our SE3 and SE4 volumes. So typically around 1/4 of our total volumes. I mean, we are -- if you look at generally, we are obviously first and foremost, merchants, but then we now have a portion of hedged volumes also to protect the downside risk.
Jenny Sandstrom:
Communications Lead: So given where the share is trading today, what is happening around the buyback discussion that you mentioned previously?
Daniel Fitzgerald: Yes. I think there's no doubt that we remain undervalued. And even when we bring news like the greenfield sale, which I think is a very accretive return on capital, we still see undervalue in the share price. I think the financial performance year-to-date has been challenging, no doubt. And as it stands today, we have a mandate from the AGM to buy back shares. So the discussion is very, very much alive within the company, management and Board to explore this. And I think we need to see some further capital coming into the company to move into a buyback scenario. But as soon as that is available, then we will look to execute on it. I think the best thing we can do from a capital allocation perspective today is to buy back our own shares. And secondly, we need to ensure that we're starting to see revenues and focusing on getting the revenues into the company from greenfield.
Jenny Sandstrom:
Communications Lead: And how do you prioritize between M&A opportunities, project developments or buyback in the current market environment?
Daniel Fitzgerald: I think it's challenging to move into large-scale M&A today with the use of debt. I think the use of equity to move into something is much more attractive, but not at these price levels. So I think the best thing we can do is ensure we're delivering revenues from greenfield, seeing the benefit of that greenfield platform. We start to secure the revenues from the producing asset side and then we have a lot more capital to deploy into this. But I think all of these options are on the table. They're all measured equally against each other and the most accretive use of capital is where you will see the capital deployed to.
Jenny Sandstrom:
Communications Lead: And are you accepted -- or are you prepared to accept lower valuation on project sales in order to accelerate cash flow and strengthen the balance sheet?
Daniel Fitzgerald: I think all assets are for sale at the right price, and it depends. If we roll back to 2022, it's a very different price to where assets are valued today. But if we look at the value of an asset in our share, then you're willing to accept a very low value on the asset to be able to buy back shares. So I think each case is individually assessed on its own merits, what it means for the company, what the valuation is and what the use of those proceeds is. But I think a fair value in today's market for an asset allows us to redeploy that capital into a much more accretive use like a share buyback or an expansion or project development, which then I think is very accretive for shareholders. So all options are on the table. You should expect us to explore them all.
Jenny Sandstrom:
Communications Lead: Perfect. There are no further questions. So with that, I would like to thank you. Thank you both, and thanks, everyone, for joining this webcast. Please reach out or send us an e-mail in case you have any further questions and wishing you a great afternoon.
Daniel Fitzgerald: Thank you very much.
Espen Hennie: Thank you.